Geir Karlsen: [Abrupt Start] The market share on corporate side is increasing. I'll get back to details on that. If you look in Norway and Avinor airports, they are telling us that the passenger growth in 2024 was 5%. We are very happy that 70% of that growth has come our way, either into a Norwegian aircraft or into a Wideroe aircraft. That means that we are now over 50% market share in Norway. Spenn, the loyalty platform that we have developed together with Strawberry launched in November. Very exciting to see the development during the first three months. I'll get back to details on that as well. We have had a small little fight with one of the ministries in Norway when it comes to ETS obligations. That was a court ruling that was finalized just recently, where we had a full win. That means that we are -- we will get back NOK 400 million plus interest of NOK 88 million in a penalty that we have already paid in. That case has been appealed by the ministry, so it will continue for a while, and then we will see the results. We feel that we are well positioned in 2025. Boeing has really performed well, I would say, during the last months. They are finally starting to deliver aircraft. So far this year, meaning the last month, we have taken delivery of three brand-new 737 MAX 8s. The third one is actually landing more or less as we speak in Copenhagen. And that means that we have already taken delivery of three out of the four aircraft we are planning ahead of the summer season. So it's really good to see that the production rates with Boeing is increasing and that we can plan and be comfortable with the fleets that we are planning to have during the peak season into the summer. The growth in 2025 will be in the area of 4%. That is a growth that is coming down from the last couple of years, where we have had 18% and 13%. That means that we can focus more on streamlining the airlines, both of them, taking out synergies and to focus really on the cost and efficiency in both companies going forward. That's also why we have launched a program called Program X that is a profitability program that will focus on the cost side of the business, both airlines, as well as revenue initiatives and the synergies between the two airlines. We're also going to spend a lot of time harvesting from a couple of smart investments that we have been doing. One is the Wideroe. The other one is our investments into a new distribution platform that we plan to go live in all markets within the next very few weeks. Passenger numbers, 6.2 million passengers in the quarter. That's 32% up year-on-year. Very happy to see that we are keeping the load factor between 80% and 90%. That is a load factor you are seeing throughout the year. Also very happy to see that Wideroe is increasing the load factor five percentage points. Capacity-wise, we are up 19% in the quarter compared to the same quarter in 2023. We are flying longer. That means that we have a sector length that is 10% longer this quarter. So on passengers or seats, we have an 8% increase. That means that we are flying more this winter to so-called winter warm destination, as well as Arctic holidays, both in Norway and in Finland. Punctuality, 78.4%. That is lower than what we like it to be. We have had some weather conditions, especially in late November and December that has caused the punctuality to go down. Regularity, 99.5%, 99.1%. We would like that to be 99.5%, which is kind of the target we are setting in the company. Passenger growth, as you can see here, we have -- this time, we have added in 2023 in the gray bars so that you can see the growth from '23 to '24 per month. And as you can see, we have capped the load factor at 80% to 90%. The yield is also at a stable level, I would say. If you look at November to January, we are actually flying approximately 30% less than what we did in the earlier months. If you look quarter against quarter, we are up 19%. It shows the seasonality that we have in this company and how we are going -- how we are managing the seasonality when we are reducing then the capacity. Looking at January, it's also promising. The traffic figures is out. That shows a 12% increase in passengers year-on-year. Wideroe, similar. You are seeing here that Wideroe is increasing the load compared to the previous year every month. And it's very nice to see that Wideroe in 2024 actually had their best year ever financially, and they are really performing well. In Q4, close to 1 million passengers, 13% up year-on-year and load at 73%. If you look at the full year, it's 3.8 million passengers, up 11% from 2023. And again, the load factor is also up to 72.3%. Very nice to see that the PSO routes that kicked in the new tender early in 2024. And even more promising is to see that the commercial part of Wideroe, meaning the network not subsidized by the Norwegian government is also profitable, very profitable actually, and that has not necessarily been the case over the last years. However, in the fourth quarter, Wideroe was experiencing, I would say, more than normal bad weather conditions. We also had an industrial action amongst the technicians that had an impact on the fourth quarter. And thereby, Wideroe's fourth quarter was a little bit softer than what we anticipated when we entered the quarter. But overall, Wideroe is performing well. And looking at how 2025 looks for Wideroe, 2025 might be an even better year than 2024. Time will show. Bookings going forward. To the left, you can see a 7-day rolling sales on number of passengers. You can see the booking curve is very similar this year, as we have seen over the last years. It's looking promising, I would say. The New Year's campaign was a success, and we have been following that up with other campaigns as well to boost demand. The first quarter in 2025 will be the kind of the last quarter in a while, where we are having a growth of more than 10%. So the first quarter is 15% up on capacity, while we, from April onwards, will have a growth compared to last year in the 5%, and that will then be the case until the end of the year as well. If you look at the right-hand side, booked revenue, you can see that we started up, and this is for February to June travel. You can see that we were starting behind the 2019 curve. But in during December, we passed 2019, and we have seen a slight boost over the last, let's say, month and 1.5 months, you could say. If you look at the load ahead, we are seeing that from April onwards, we are above the load compared to the same period last year. On yields, February and March will be affected by the longer sector length and the capacity growth, as we also saw in the last quarter. If you look at the yields from second quarter onwards, it is stable to improving compared to last year. Looking at March, I think you will have to have to look at that in combination with April due to the fact that Easter is coming in April this year. And by that, March will be impacted by not having Easter and the high growth, while you will have a boost then in April. But all in all, we are above on load compared to last year. And from April on, we are having a stable yield to improving yield compared to last year. We have a weak local currency in Norske Krona. We have been affected by that throughout the whole of 2024 and not at least the last quarter. If you look at the CASK in the company, we had NOK 0.848 in 2023, NOK 0.5 in 2024. We had headwinds on FX and inflation of approximately 7%. And then we have been able to do cost savings, efficiency gains in the area of 3%. That's why we're ending up with shy of 4% increase in CASK. Again, comparing ourselves with the peers, we are quite happy with it. We're not happy, but we are quite happy with that. The costs that are kind of affected by currency is typically then fuel, obviously, is technical maintenance, where we are buying most of the spare parts, et cetera, in U.S. dollars. leasing, airport charges outside of the Nordics, ATC fees, obviously, handling and crew. But the flip side of that, the flip side of having a weak local currency is that the inbound travel has been boosted over the year. Looking at the Avinor figures, they are reporting that in 2024, you have a 42% growth in inbound traffic compared to 2022 versus 18% growth on Norwegians traveling abroad. You are today seeing a Bonanza, especially in Tromso, foreigners flying into Tromso. You're seeing a similar effect in North of Finland, Rovaniemi, as an example. And we are uniquely positioned, I would say, to capture this traffic flow, both flying passengers into Norway and not at least to spread all these passengers internally in Norway. We have 85 aircraft based in Norway, Norwegian and Wideroe today. And obviously, we can cover the whole market in a much better way than anybody else. So the flip side of the weak local currency is a boost on inbound travel. That is something that we have been fighting for a while to increase the inbound, and now we are seeing it as such. On the corporate side, that is a part of the market where we have been putting in bets, I would say, the last two years, and we have been gaining market share massively over the last 24 months. Looking at the Avinor figures, you can say that today, the corporate domestic market is only 89% back, so 11% lower than 2019. On the international corporate travel market, it's actually 85% -- only 85% back. When we are talking to corporates, more and more of these are saying that they are flying now more than 50% with Norwegian. And they're also saying that due to the fact that you have an attractive network, you have the necessary frequencies, you are on time, and you are not canceling, that makes the product just more attractive. We have signed up more than 3,000 new corporate agreements in 2024. And this is agreements we will benefit from over the next months and years. And we are seeing growth on all sales channels. To the right, you can see that we have increased the number of passengers on the corporate side with 15% since 2019. You saw a fall in corporate travel from '19 to 2023. And thereby, we have seen an increase of 19% since 2023 on corporate travelers. If you look at the revenues and the increase in revenues we have been seeing from 2019 to 2024, it's up 50% on corporate travel. So there's no doubt about the fact that we are gaining market share. It is, in general, very positive, and it also takes down the seasonality that we are exposed to due to the fact that the corporate travelers are more traveling 12 months a year. Wideroe is having a higher portion of corporate travelers than we have in Norwegian. So that is a benefit beyond we will then take out during 2025 and 2026 because we are aligning the two networks in a better way what we were able to do in 2024. Without having done anything really, we are, regardless seeing an increase in the traffic flow between the two airlines in the area of 58% year-on-year. That means there is many more passengers coming into a Norwegian aircraft than the alternative. And we do expect that, that will continue also through 2025. During 2025, we will also launch the new distribution platform, which means that you will also be able then to buy Wideroe tickets on the Norwegian website. We are seeing also very positive trends in Sweden. We are also gaining market share in Sweden. Sweden is more attractive now also due to the fact that they are removing the passenger tax from this summer. So we are increasing capacity in Sweden. We are opening up a pilot base now in April. It's fully arranged, and all the pilots are in place. And Sweden for us will be an important market in 2025 and 2026. Wideroe have terminated the loyalty agreement with EuroBonus. It's coming to an end in October this year, and Wideroe will also then join Norwegian Reward, obviously, for the years to come. Reward. We have a very successful loyalty program in Norwegian Reward. We have 4.4 million members. We have done some tweaks in the Norwegian Reward program. We have implemented Norwegian Reward priority, where you can unlock all benefits from -- after 32 flights. In November, we also launched the loyalty cooperation platform together with Strawberry called Spenn. It has been a successful implementation. As per today, more than 630,000 Spenn earners have earned Spenn on the platform with more than 4 million transactions and 750 million Spenn earned. Spenn is working very hard. The Spenn organization is working very hard to kind of increase the awareness. As per today, it's 33% and increasing. The focus now in Spenn is to be -- to onboard new partners. As per today, we have full -- 14 fully fledged partners already integrated. And there is a hard push in Spenn in order to onboard typically then large Nordic corporates and time will show. And hopefully, we can be able to share news on that as soon as absolutely possible. So I would say Spenn so far, so good. And the member base is increasing every day, as we go. Hans-Joergen?
Hans-Joergen: Thank you, Geir. Good morning, everyone. Great to see you here. And I will go through the fourth quarter results in some more detail, as I usually do, diving a little bit more into the figures. So the quarterly revenue increased to NOK 8.2 billion, which is up 39% from last year, obviously impacted very much by the acquisition of Wideroe. As you all know, in 2023, we -- the Wideroe -- the figures were not part of our numbers, so they contributed NOK 1.8 billion. Norwegian capacity, as Geir said, is up 19%, and we saw a slight reduction in unit cost year-over-year, but that was also, as mentioned earlier, triggered by a longer stage length. Happy to see that the Norwegian ancillary revenues is also up to NOK 188 per pax, which is up from NOK 173 the year before. Also, the quarter group EBIT came in at a negative NOK 93 million. I'll come back to the foreign exchange impact of that, which had a large impact. Norwegian had an EBIT of negative NOK 222 million and Wideroe came in at positive NOK 128 million. And as mentioned earlier, Wideroe is performing very well, though in the fourth quarter, they had a few challenges due to weather conditions go slow and a few other issues. But overall, the performance of Wideroe for 2022 has really been very, very strong. It's also worth noting that in terms of our numbers, how we reported and we did go out in early January with a kind of revision to our estimates for 2024. And the EBIT for the full year came in, as mentioned earlier, at NOK 1.873 billion, and we had indicated and projected NOK 1.85 billion. So we're a little bit above there. And it's also worth noting that out of the NOK 1.873 billion, Wideroe contributed NOK 500 million or actually specifically NOK 499 million. So a very, very good result for Wideroe also on the back of an acquisition price, taking into account an acquisition price of [NOK 1.020 billion]. So it's -- they have been -- it's a strong year. As also mentioned earlier, the Norwegian kroner did have a material negative impact on the results in the fourth quarter. The Norwegian kroner went from NOK 10.55 to NOK 11.35, which is [NOK 80], a really, really heavy reduction, which impacted both our operating expenses, but even more so certain operating liabilities in our balance sheet that has to be repriced every month due to the foreign exchange. And that is what we call the other gains and losses, the OGL. Also, unit cost, as mentioned earlier, at NOK 0.53, same as last year despite kind of the underlying cost increases, but that's driven by, of course, the significant increase in ASK. Balance sheet position, strong balance sheet coming out of the quarter, still NOK 9.9 billion of cash. And then we have, as earlier mentioned, invested about -- we have invested exactly NOK 1 billion in fixed income investment fund, which has been reclassified from cash to fixed income investments. They are liquid. So they can be -- they are kind of, in some sense, considered cash and they can be liquidated in within a few weeks. So for us, it has generated more -- better interest or management of our excess cash. And actually, so far, it has yielded between 1% and 2% higher than our other money market funds, which we are quite happy with, and it's actually exactly as expected on that part. Equity ratio, 19.3%, which is slightly up from last year -- from the previous quarter. And as mentioned earlier, we are planning or we will propose to distribute NOK 0.60 per share to the AGM to pay out either as a dividend or as a buyback of shares. And that is, of course, subject to the approval from the Annual General Meeting and also subject to approval or to the conditions under the company's debt instruments. So at the moment, we are not able to distribute anything, but we are working on that, and I'll come back to that in just a minute. A little bit of a further deep dive into the revenue development. First, starting with Norwegian going from NOK 5.9 million to -- billion to NOK 6.4 billion, clearly saying that the volume increase in ASK of 19%, contributing about NOK 1 billion. Then we have a somewhat decrease due to the stage length on the yield, load factor also a little bit down. And then we have the big item, which is the change in other revenue of NOK 372 million, and that has to do with the kind of one-off impact of COVID -- void of COVID at the end of 2023, as well as the settlement with Bank Norwegian, which was recorded then in the fourth quarter of 2023, which then brings us to NOK 6.4 billion in Norwegian and Wideroe contributing with NOK 1.8 billion of revenue. So good contribution there, consisting -- so Wideroe is then in reality, 22% of the revenue of the group. Further also detail on the EBIT development since it's quite a material variation on that with the EBIT and volume impact having a positive impact, the yield and load in combination, NOK 138 million. Then obviously, the other revenue that I mentioned, the NOK 372 million kind of one-off nonrecurring impacts in the fourth quarter of 2023 of NOK 372 million. Fuel price impacting positively. CASK doing the same. And then we have this particular impact on our liabilities in the balance sheet that has to be restated every quarter due to fluctuations in the foreign exchange rate, contributing negatively with NOK 232 million and then also depreciation and amortization of lease being a little bit higher than in the previous quarter -- sorry, in the last quarter -- in the same quarter last year, bringing us to NOK 222 million negative EBIT for the quarter. And then adding, of course, Wideroe at NOK 128 million brings us to minus NOK 94 million. It's also worth noting, and it's not an excuse, but it's also worth noting that if we take out the other gains and losses of NOK 206 million, and also adjust for the nonrecurring items at NOK 372 million, the results -- the EBIT -- underlying EBIT result in Norwegian in the fourth quarter of '24 is actually better than in the fourth quarter of '23. Just to summarize on the P&L. I think we've been through it largely. You will recognize the total number, operating revenues, NOK 8.2 billion, up 39%. The EBIT, minus NOK 93 billion and a net loss of NOK 223 million. And as also mentioned earlier, you will see the nonrecurring impact on this particular line. We have additional flying FTEs on the crew side on the personnel expenses, which is higher, but it's also at the same time, just again, repeating that it's -- you cannot really compare Q4 '23 with Q4 '24 because Q4 '23 does not include Wideroe. But certainly, the wage inflation and additional FTEs has an impact. Again, just summarizing the year, NOK 35.3 billion of operating revenues, a strong growth driven by both our own organic growth, as well as the acquisition of Wideroe. EBIT of NOK 1.873 billion and a net profit after tax of NOK 1.355 billion. And due to our tax loss carryforwards, we are not recording any tax costs for this year. Balance sheet, not too much to say about the balance sheet. The total assets is very similar to the quarter before, NOK 37.5 billion of total assets versus -- and then NOK 37.6 billion at the end of this quarter. The largest changes on the balance sheet side is the impact of this, again, the strength of the U.S. dollar, which then has an impact on the asset values and liabilities relating to our aircraft, which are both denominated in U.S. dollars, and that's driven. And that is kind of what's driving, for instance, the tangible assets up to NOK 19.4 billion, which is up pretty much NOK 1 billion. One important thing to note is on the air traffic liabilities, this number here, which is down 21%, but that's due to seasonal variations. And it's really good to see that actually the part, which belongs to the Norwegian part is up 18% compared with the same period last year, which means that the kind of pre bookings going into 2025 is at a good level compared with what we see -- what we saw at the same time last year, of course, reflecting the increasing capacity. But at the same time, it's good to -- that's kind of a little bit of proof of the pudding that actually our pre-bookings is in line with our capacity increases for the year. A few words on the net interest-bearing debt going up just a little bit or increasing to NOK 5.2 billion, again, driven largely by the increase in U.S. dollar and U.S. dollar rate, which has an impact on the book value of our debt financing in U.S. dollars and just a moderate increase in -- sorry, decrease in our total liquidity. And in this measurement, it's important that we -- when we define net interest-bearing debt, it includes the liquid, but still recorded as a financial investment, investments in the NOK 1 billion area there. A few words on the dividend proposal of -- or actually distribution proposal of NOK 0.60 for 2024. It's equivalent to a payout ratio of 48%, which we think is a prudent level. And it's obviously will be used either as dividend payment or as buyback of shares. So we would like both authorities to have that flexibility to use those funds for that purpose. It's subject to AGM approval and also subject to, let's say, bondholder approval and how the issues relating to our existing bonds, that is the convertible bond and as well as the retained claim bond is dealt with. So at the moment, we are not allowed to pay anything. On top of that, we have already accumulated NOK 85 from 2022 and 2023. And for 2023, the number was also NOK 60. So it's kind of a stable, let's say, payout ratio, distribution ratio. And at the moment, the Board is sitting on authorization to also to pay NOK 0.85 until the next AGM. So this will come on top of that. The dividend fund has risen from NOK 820 million to NOK 847 million due to yield from those investments, which has been at about 6% for the period in question, which is we think is a good yield on a low-risk investment profile. Finally, cash flow. I think for the most part, seasonal reduction in ticket prepayments always -- that's always the case. Pretty good cash flow from operations at NOK 1.3 billion. We have the investments, which are mainly the investments into the -- again, the fixed income funds. And then we have the regular repayments of aircraft leases at NOK 766 million, which ends up at -- then our cash balance per se ends up at NOK 9.8 billion, and then we are conceptually adding the fixed income fund to that, which means that we're coming out of the quarter with a very, very solid liquidity position at about NOK 11 billion. All right. Thank you. Geir?
Geir Karlsen: So just some final words. Looking a bit forward, a few details on Boeing. As mentioned, Boeing has really started to produce aircraft and to deliver aircraft. We have taken, as I said, three deliveries so far this year. The third one this morning. We do anticipate to take delivery of 11 to 13 aircraft during 2025, which will take the fleet up to 94 to 96 aircraft by the end of this year. Even if Boeing has started to deliver aircraft, they are not delivering in a pace that was planned back in the days. So it means that in combination with the issues that Airbus is seeing and the engine issues on the Pratt & Whitney engines, there will be less capacity coming into the market in total compared to how it looked a year or two ago. As we know -- as we can read today, there is approximately 350 320neos now on the ground due to these engine issues. That means that, that should support kind of the market, meaning that we might see that the yields are keeping up longer than anticipated. We do expect to take our first delivery of our own aircraft order late this year. We have 50 aircraft on order, as you know. We will also take a decision during the next six months on the 30 options we have on top of the 50 aircraft. And the options, as mentioned earlier, has even more attractive pricing than the firm 50 aircraft. Also, as mentioned, we have secured financing for the 18 first aircraft. We are going to own 13 of the 25 first aircraft, while 12 is done or is about to be done on sale-leaseback transactions. So that means that on the fleet side, we are comfortable for 2025 as well as for 2026. Looking at the trading environment that we are currently in. On the demand side, you can say that we do expect in Scandinavia that you will have a real wage growth in 2025, which should support the demand. You should expect the falling interest rates, which should also be positive for the demand. And also, the inflation has come down over the last, let's say, last six to nine months, which is probably why we're also seeing that the bookings going forward is looking promising, where we said that we are above on load from the second quarter onwards, and we have a stable or improving yield as well in the same period. In Norwegian, we have invested a lot during the last couple of years into growing the company. Last year, we employed close to 700 new colleagues. This year, we are not growing that much. That means that we can focus much on streamlining both airlines and the relationship between the airlines, and we can focus even more on the cost side of the business. So that is the main focus in 2025. And that's also why we have started a Program X, which was launched in the fourth quarter last year. It's a profitability program that will run at least until the end of 2026. This program will give effects. It will give effects on the profitability, both on the revenue side and on the cost side. I've also established a new position, Chief Performance Officer in my executive team with the sole responsibility and the obligation to focus on this profitability program. Jeanette Bo-Alnes is appointed. She has been with Norwegian for a while and is very well fitted to take on that role. So the focus will be cost reductions. It will be capturing the synergies with Wideroe. It will take out all the effects from us launching a new distribution platform and we are going to make sure that we are also taking out efficiency gains when it comes to running the two airlines as such going forward. We're also going to harvest from, as I said, the distribution platform, which will give us increased functionality. It will give us new measures on upselling. It will give us new functionality when it comes to distribution. It will also be the first time where Norwegian can do proper interlining with potential other airlines. That's why we have also, in parallel, been working on a partnership strategy. I hope to share news on that as well during 2025. And we will also have we taken out the full effect on the network synergies between Norwegian and Wideroe that we really didn't see in 2024. But in 2025, we will start seeing that. So this is a program, which has a massive focus internally in Norwegian. We have been putting a lot of resources into it, and it will give results over the next 12 to 24 months. Summary, it is early in 2025. We have started the Program X. It will give effect. So as per today, we are giving a guidance on capacity. So the first quarter of 2025 will be the last quarter in a while where we will have a significant growth. Then that growth is coming down to 2% and then to 0% in Q4 as mentioned. On unit costs, we are now guiding on a single-digit percentage increase versus 2024. I hope that we can come back later with a more precise guiding as such. And on Program X, I hope we can also come back and give you more details on the program also with the financial impact on the different work streams that we have started. So with that, just to summarize, I mean, we are optimistic. We are well prepared for the upcoming top season in the summer. We have employed the colleagues we need. We have the aircraft that we need. We are seeing positive signs on the booking. And Boeing is delivering aircraft again, and we are very excited to see what we can get out of the Program X. Jesper?
A - Jesper Hatletveit: Okay. Then we open up for some Q&As. We'll start with the audience. Any questions from the audience today?
Unidentified Analyst: Two questions from me. You have a regularity target of 99.5%. I didn't hear you say any punctuality target, which currently is around slightly below 80%, at least in Q4.
Geir Karlsen: I think we have been -- we are top five of punctuality in Europe, as mentioned. In 2023, we were actually slightly above that. The target internally is 85%. That's what we are striving for every single day.
Unidentified Analyst: So we are learning that Ryanair is closing their base in Billund then it lost in 2024, they had around 1.25 million passengers, reducing their flights to Aalborg and Billund and some other airports in the Nordic Baltic area. Business opportunities for Norwegian as Ryanair is reducing their presence in Denmark.
Geir Karlsen: Well, Denmark is obviously a well-functioning market for us as well, and it has been that for quite a while. And if you look at the growth we have been having over the last couple of years, a huge portion of that growth had actually gone to Denmark. That's why we are also -- have been also focusing on even more domestic routes in Denmark in 2024, as you know, Hans Jorgen. And do we see an effect of Ryanair pulling out? Yes, we do. And then we will have to see where is Ryanair going to put or to place those aircraft. Is it going to be in Southern Europe? Or is it going to be other places? So yes, it's a positive.
Jesper Hatletveit: Okay. We'll then move on to some questions from the web. We'll start with Hans-Erik Jacobsen from Nordea. You guide for plus single-digit increase in nonfuel unit cost. ex-fuel. Is this low, mid, high single digit?
Geir Karlsen: We are guiding on a single-digit cost increase. And then hopefully, we can come back and to be more precise later. It's early in the year. And we will also have a better overview on the Program X and how -- what that can achieve. So hopefully, we can narrow that guiding during the next quarters.
Jesper Hatletveit: Okay. Then moving on to a question from Andrew Lobbenberg in Barclays. If you could offer any more details on Program X apart from harvesting the Wideroe synergies, it seems rather generic he says, is it more revenue? Is it more cost? What will you do?
Geir Karlsen: I think on the revenue initiatives, I think I've been through it with the distribution platform. It's in-flight sales. It's ancillaries in general. It's the ability for upselling. It's the increased functionality under the new distribution platform. On the cost side, we are talking about -- yes, we are talking about the synergies between the two airlines. What can we do to streamline the support functions. But it's also kind of the core cost level in both airlines on a standalone basis, which will also be applicable for this program. So it's kind of a process that will take us through all parts of both airlines as such, including the synergies.
Jesper Hatletveit: Okay. Another question from Andrew Lobbenberg. SAS now out of bankruptcy. Are they winning back some of the corporate traffic that you gained in recent years?
Geir Karlsen: I don't think so. As I mentioned earlier, we are gaining market share. Very also good to see that the growth that we have seen in Norway, for example, we have catched 70% of that growth into both our airlines. What we have been seeing from SAS lately is probably that they are more even, let's say, more aggressive than normal on pricing, which we can tackle.
Jesper Hatletveit: Okay. One final question from Andrew. Status of labor relations across the various group -- various companies in the group?
Geir Karlsen: Well, 2024 was an active year when it comes to the unions, and we reached agreements with all of them. So now we have two year to four year agreements with all of them, except the pilots in Norway, where we will reach a new agreement during the fall of 2025.
Jesper Hatletveit: Moving on to a question from Ole Martin Westgaard at DNB Markets. How much did wet leases impact your operations in 2024? And what are your plans there for 2025?
Geir Karlsen: Right now, we have a very limited need for wet lease into the coming summer. Will we have zero? Well, let's see. It might be -- but it will be much less than last year. I think the impact on wet lease in 2024 were somewhere between NOK 300 million and NOK 400 million.
Jesper Hatletveit: Okay. And also, another question from Ole Martin. If you can give some -- an update on how much you've taken out to crystallize of the synergies for Wideroe and what can we expect in 2025?
Geir Karlsen: We are not guiding on that as such. I think if you look at the numbers today, we have probably taken out what we promised, it was between NOK 300 million and NOK 400 million. Are there more to gain? Yes, there are. And hopefully, we can take out most of those synergies during 2025, but we will probably use 2025 to do that.
Jesper Hatletveit: And then a question from Torkel Dalan from Anaxo. Last year, this time, you guided on EBIT. You're not guiding on EBIT now, but can you give us any estimates, any thoughts about where you're seeing EBIT for the full year of '25.
Geir Karlsen: No, because we are not guiding on the EBIT for the time being. And then we will see what we will do on guiding both on CASK and other measures, as we go and when we get further into 2025.
Jesper Hatletveit: Okay. Another question from him is, in the previous quarter, you guided on 90 aircraft or call it, circa 90 aircraft for the summer of '25. Now you're saying 88. How does this impact your outlook for the year?
Geir Karlsen: Well, I think last year, we were planning for a number of aircraft. And as mentioned earlier here, we didn't receive all those aircraft. This year, we have been more conservative when it comes to betting on how many aircraft we will get. And as I said, we are betting on three to four aircraft. We have already received 3. The next one is coming in April, if listening to Boeing. So that's why we are quite comfortable, much more comfortable this year than last year because we have been playing it a little bit more conservatively.
Jesper Hatletveit: Okay. That concludes all the questions from the web. I'll just check if there's any more questions from the audience. There are not. So we'll conclude the session there. Thank you.
Geir Karlsen: Thank you.
Hans-Joergen: Thank you.